Operator: Welcome to the Avago Technologies Limited Third Quarter Fiscal Year 2013 Financial Results Conference Call. At this time, for opening remarks and introductions, I would like to turn the call over to Tom Krause, Vice President of Corporate Development. Please go ahead, sir.
Thomas Krause: Thank you, operator, and good afternoon, everyone. Joining me today are Hock Tan, President and CEO; and Tony Maslowski, Interim Chief Financial Officer of Avago Technologies. After the market closed today, Avago distributed a press release and financial tables describing our financial performance for the third quarter fiscal year 2013. If you did not receive a copy, you may obtain the information from the Investors section of Avago's website at avagotech.com. This conference call is being webcast live and a recording will be available via telephone playback for 1 week. It will also be archived in the Investors section of our website at avagotech.com. During the prepared comments section of this call, Hock and Tony will be providing details of our third quarter results, background to our Q4 2013 outlook and some commentary regarding the business environment. We will take questions after the end of our prepared comments. In addition to U.S. GAAP reporting, Avago reports certain financial measures on a non-GAAP basis. A reconciliation between GAAP and non-GAAP measures is included in the tables attached to today's press release. Comments made during today's call will primarily refer to our non-GAAP financial results. Please refer to our press release today and our recent filings with the SEC for information on the specific risk factors that could cause our actual results to differ materially from the forward-looking statements made on this call. At this time, I would like to turn the call over to Hock. Hock, go ahead.
Hock E. Tan: Thank you, Tom, good afternoon, everyone. We're going to start today by reviewing recent end market business highlights and then Tony will provide a summary of third quarter fiscal 2013 financial results. As I begin, let me remind you that our third quarter results included 5 weeks of contribution from CyOptics. With that, revenue for our third quarter fiscal year was $644 million, which included $21 million from CyOptics. Non-CyOptics-related revenues grew 11% from last quarter and were above the upper end of our guidance of 6% to 9%. Wired infrastructure was up 18% sequentially and industrial was also up 18%, both well ahead of our regional guidance. This more than offset weaker-than-expected results from wireless, which ended up 3% growth sequentially in the quarter. Now, looking at Q4, we do -- we expect overall revenue to grow between 12% to 15% sequentially. This includes a full quarter, or 13 weeks, of revenue contribution from CyOptics, which is forecast to be approximately $55 million. I want to highlight too, that, excluding CyOptics, we expect to grow revenue, high single-digits sequentially, as well as year-over-year. Let me provide more color on each of our target markets. Starting with wireless, over the last several months, as you are no doubt all aware, the smartphone market -- high-end smartphone market, in particular, has softened. Recent OEM smartphone launches have disappointed. I would note, however, that our wireless business is still up 19% year-over-year in Q3. The reason is simply content. The emerging proliferation of LTE, first, in North America, then Japan, and now gradually rolling out in Europe and soon to follow in China, drives the need for higher performance RF. With proprietary RF bar filters and pads, power amplifier duplexer, front end modules that is, Avago is focused on solving the most difficult RF challenges, and as a result, we believe we are capturing the most value-added sockets. Now, having said that, the competitive landscape continues to evolve pretty much as we expected, as emerging players in filters are now showing up. But we believe our position remains very strong as we continue to invest in design innovation, process technology and capacity. As a result, I continue to be confident in our wireless growth prospects going forward. Looking at Q4, interestingly, our 2 largest smartphone customers are ramping their next-generation platforms, and our content in both these platforms continue to improve substantially. As a result, we anticipate our Q4 wireless revenue to grow mid-teens, sequentially, on a percentage basis. Moving on to wired infrastructure target market. Here, non-CyOptics wired revenue grew 18% sequentially in Q3, as I mentioned, and represented 28% of overall revenues. Data center related demand was particularly strong, helped by the accelerating transition from 10G to 40G. Our ASIC SerDes business had a record quarter. In the past, we have highlighted our increasing design wins at major networking OEMs and we clearly saw the benefits of that in the current -- in the recent quarter. In fiber, after 2 lackluster quarters, due to flat, traditional enterprise spending, increased data spend -- increased data center spend, I should say -- also pushed up demand for our 10G, as well as our 40G optical transceiver products. Looking forward to Q4, we see data center spending continuing to sustain, including strong demand for 40G products. Finally, we see core routing demand returning, driven particularly by backhaul build-outs in China. As a result, we expect wired infrastructure revenue, excluding CyOptics, to grow sequentially. Demand for CyOptics Edge Emitting Lasers and receivers is strong, due to the rollout of 100G coherent telecom networks and 40G single-mode fiber interconnects in large data centers. We are transitioning certain low-margin subsystem business into related higher-margin component sales. Notwithstanding this transition, helped by strong market demand worldwide, we expect that -- we expect CyOptics to contribute approximately $55 million in net revenue in Q4. In a nutshell, we anticipate overall wired infrastructure revenue, which includes for CyOptics, to grow approximately 20% sequentially. Now switching gears to our industrial target market. Net sales grew 18% in Q3, which was much stronger than my expectation at the beginning of the quarter and accounted for 24% of our overall revenue. Worldwide industrial's resales were up again this quarter, led by China and Japan, which were very strong. We also saw some limited inventory replenishments in our OEM customers and the channel after 2 quarters of de-stocking, which we believe was related to our customers' confidence in the sustainability of current end market demand. In China, we saw strength in transportation, as well as power generation and distribution. In Japan, we benefited from exports of silver dry [ph] by our Tier 1 OEMs and strong emerging demand for PV inverters in small-scale solar systems. Focusing on Q4, we expect resales to continue to be up. However, after the robust revenue uptick and the inventory replenishment we saw in the previous quarter, we expect revenue from this target market to be roughly flat sequentially. In summary, therefore, we exceeded our revenue expectations in Q3 and that -- as a -- sorry, we exceeded our revenue expectation in Q3, as a pronounced improvement in our wired and industrial businesses mitigated the underperformance in wireless. For Q4, we expect wired to continue to perform, while new generation smartphone REMs [ph] and our 2 largest customers give us confidence wireless will be very strong. As a result, excluding CyOptics, we expect to grow revenues high single-digits sequentially, as well as year-over-year. Including the contribution from CyOptics, though, we expect overall revenue to grow between 12% to 15% sequentially in Q4. With that, let me now turn the call over to Tony for a more detailed review of our third quarter financials.
Anthony Maslowski: Thank you, Hock, and good afternoon, everyone. Before reviewing the third quarter fiscal 2013 financial results, I want to remind you that my comments today will focus primarily on our non-GAAP results. A reconciliation of our GAAP and non-GAAP data is included with the earnings release issued today and is also available on our website at www.avagotech.com. Revenue of $644 million in Q3 represents an increase of 15% from last quarter and an increase of 6% versus the same quarter a year ago. Excluding the approximately 1-month contribution from CyOptics, which was slightly higher than expected, Avago's non-CyOptics revenue grew 11% quarter-over-quarter. The sequential strength from our non-CyOptics business was a result of much stronger demand in wired infrastructure and better-than-expected recovery in industrial compared to our prior expectation. As Hock discussed earlier, revenue from wireless target market was below our expectations. FoxConn continued to be a greater-than-10% customer in Q3. Our Q3 gross margin was 50.9%. Better product mix drove gross margins higher for our non-CyOptics business compared to the prior quarter, which was offset by the negative impact of CyOptics on our overall gross margins. I should note that the non-GAAP gross margin for CyOptics also outperformed our expectation. Turning to operating expenses. OpEx for Q3 came in at $137 million, in line with our guidance when you include the guidance we gave for CyOptics business. R&D expenses increased by $3 million to $91 million as a result of higher R&D investment, as well as 1 month R&D spending for CyOptics. SG&A increased by $4 million to $46 million due primarily to higher offensive litigation expenses in addition to 1 month of SG&A costs related to CyOptics. As a percentage of sales, R&D decreased to 14% from 16% in the prior quarter and SG&A remained at 7% of net revenue. CyOptics' operating expenses came in at the low end of our expectation. Income from operations for the quarter increased by $33 million sequentially to $191 million and represented 30% of net revenue compared to the $186 million for Q3 of last year, income from operations increased by $5 million. Other income was $4 million, which was a gain in fair value of marketable securities representing minority interests. Taxes came in at $7 million for Q3, in line with our guidance. Q3 net income of $188 million increased 23% from the prior quarter and Q3 earnings per diluted share of $0.74 was $0.13 higher than Q2. The sequential increase in Q3 earnings is attributable primarily to growth in non-CyOptics revenue, as well as earnings contribution from CyOptics. Compared to Q3 of last year, net income was $6 million higher and earnings per diluted share was $0.02 higher for similar reasons. Our share-based compensation in Q3 was $20 million. The breakdown of the expense for Q3 includes $3 million in cost of goods sold, $8 million in R&D and $9 million in SG&A. In Q4, we anticipate share-based compensation will be approximately $21 million. And just as a reminder, the company's definition of non-GAAP net income excludes share-based compensation expense. Moving on to the balance sheet, our days sales outstanding came in at 52 days. This was up 8 days from the prior quarter, primarily due to the timing of shipments in the quarter and unfavorable impact of CyOptics DSO. Impact of CyOptics is 5 days unfavorable. Our inventory ended at $248 million, an increase of $55 million from last quarter. In addition to $32 million of CyOptics inventory, which negatively impacted our inventory days on hand, we continue to build wireless inventory in anticipation of various product launches with our smartphone OEM customers. Days on hand were 82 days. Impact of CyOptics is 6 days unfavorable. We ended the quarter with a cash balance of $863 million and we generated $137 million in operational cash flow. We spent $65 million on capital expenditures. We also spent $400 million of cash on CyOptics acquisition in the quarter. For Q4, we expect CapEx to be approximately $67 million. During the quarter, we repurchased approximately 1 million shares, which consumed $38 million of cash. We continue to be committed to a share buyback program that aims to limit dilution from employee-related stock issuances. On June 28, 2013, we paid a quarterly cash dividend of $0.21 per ordinary share, which consumed $52 million of cash. This dividend was raised by $0.02 from the prior quarter. Since the inception of our dividend program in Q2 2011, to date, we have continued to increase our dividend each quarter. Now let me turn our non-GAAP guidance for fourth quarter of fiscal 2013. This guidance reflects our current assessment of business conditions and we do not intend to update this guidance. Total revenue is expected to grow by 12% to 15% from Q3. Gross margin is expected to be 50%, plus or minus 1 percentage point. Operating expenses are estimated to be approximately $145 million. Taxes are forecasted to be approximately $12 million, and finally, the diluted share count forecast is for 254 million shares. That concludes my prepared remarks. Operator, please open up the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of James Schneider with Goldman Sachs.
James Schneider - Goldman Sachs Group Inc., Research Division: I was wondering if we could start on the wireless side for a moment. Can you talk about the trends you're seeing right now, at your second-biggest smartphone customer and whether the well-publicized inventory correction that, that customer is essentially behind you at this point? And then, related to that, looking ahead of the smartphone launches you have across your customer set in the next quarter, can you talk about any trends you're seeing with respect to more discrete FBAR sales for you guys versus pads?
Hock E. Tan: Wow, lots of questions there. Let me try to parse that and go one by one. Let's talk about market trends short term, Q4 and specific to the rest of the year. What we do see is, other than our 2 largest smartphone OEM customers, in the higher-end phone range especially, we see a few other phone OEMs launching new phone programs. I mean you have seen that especially on -- we see about Optimus, we see Nexus coming out and we see a few other Lumias coming out, around that, later in the year. But, obviously, the 2 biggest high-end smartphones makers are making the news and we see both programs launching this particular quarter, definitely in the second half of this particular quarter. And right now, as we perceive it, inventory is the least of our problems, in that regard of excess inventory. We are ramping up very, very strongly to try to meet demand. Very, very strongly and very, very urgently just to meet demand of those several smartphone OEMs that we have to support at this stage, okay? That's pretty much what I would limit my discussion to, as to say. A lot of the bookings, a lot of the backlog is in place and what we're trying to do is really an interesting challenge to our supply chain to meet it all. But we'll get there. Then, as far as the second part of your questions on mix, in the short term, both are happening. There are quite a few satellites and discrete FBARs, satellite PAs and discrete FBARs that happens. We also obviously see, from our perspective, quite a bit of head architectures that are also happening. And it varies, obviously, from OEM to OEM, and the best way to answer is we see both. We are seeing both as we see right now. Obviously, increased FBAR architecture comes from increased LTE bands that are now put into a lot of these high-end smartphones, which needed to be supported and yet not some of them. Many of them are not supported as pads but rather supported on a discrete basis. So we see quite a considerable mix of both in this next 6 months, I guess the best way to describe it.
James Schneider - Goldman Sachs Group Inc., Research Division: That's helpful. And then to follow-up on the industrial business. Clearly, there, your results had been lagging a lot of your peers for a while, but now have caught up and then some it seems like. So can you maybe talk about the channel behavior, and specifically the distributors, what you're seeing from them? Is it a matter of their inventories got too low and they needed to replenish somewhat or they just feel better about overall demand? So do you feel like you're more or less shipping in line with any consumption at this point?
Hock E. Tan: Well, obviously, we're not trying to be too smart about it. Consumption, definitely showing consumption a bit tricky. But I'll tell you what we see in China. In China, a lot of customers are not huge and their management of supply chain is extremely short term. And what we do see, what we have always seen in China and continues that way, is when they perceive end markets to be not as strong, they'll be the first, our Chinese customers in industrial, will be the first to disappear from the demand horizon. And when things go turnaround, they're always the first to show up and they tend to probably replenish their de-stocked inventory level very quickly. And I believe a big part of what we're seeing in Q3 was exactly what happened. A lot of OEMs, small OEMs, midsized OEMs in China came in and bought, and bought pretty heavy. And our China -- revenue -- industrial business in China grew double digits, strong double digits I should say. As they did in Japan and yet Japan is different in a sense. There was a lot of exports in Japan perhaps helped by the yen, also helped by lumpy business related to machine-to-machine tool and automation investment or handset makers in China. And so we see a combination of that influence. As far as channel inventory is concerned, we didn't see -- keep in mind, for the last 2 quarters, we have been de-stocking our channel inventory. So what happened last quarter, we've -- especially Chinese customer jumping in and replenishing their stock, our channel inventory also went up. Overall, our total channel inventory went up about less than mid-single digits overall. So, while it did go up, it's in a limited basis. So most of the OEMs took on the parts.
Operator: Your next question comes from the line of Ross Seymore with Deutsche Bank.
Ross Seymore - Deutsche Bank AG, Research Division: Hock, again, starting on the wireless side. First part of the question looking a little bit backwards and the second part looking forward. Can you just talk through what you saw happen in the July quarter? The growth of about 3%, it was about 5 points less than you expected. And if we look forward beyond the October quarter, just for an idea of how you view seasonality in your wireless business.
Hock E. Tan: Seasonality, as it used to, in past years, seems to have largely, not totally, but largely disappeared. And frankly, it disappeared because the timing of phone launches, at least with the markets where we address, seems to have overridden that seasonal trends. So it's more the timing, and especially the timing of large phone OEM makers. In this particular case, I'll start with Q4, what we are seeing here is -- our strength here is seen by 2 of our largest customers in wireless are launching their next-generation phone platforms almost at the same time, very interesting. And so we are seeing, basically, revenue aggregating, I guess, in one quarter. Probably another quarter beyond that one. Not making a forecast here, but it seems it will probably run over, does it's effect of this quarter and you'll probably rollover to the quarter after that, but in a very, very strong manner. Now they're not the only guys who -- because we seem to see some other phone OEM makers, we're also launching new phone platforms somewhere over the current September, October, November timeframe also, especially September, October timeframe. So everybody seems to rush in and maybe that's also tied to seasonality for Christmas. I just happen to think that maybe a larger part of it is they choose to do it all at the same time, by coincidence or maybe not so coincident. And that's what's happening this quarter. Meanwhile, back to last quarter. Last quarter was, obviously, a different interest because there wasn't any particular large phone launches, that we see for ourselves, that would benefit us last quarter. It was more a broad-based sustainability of smartphone OEM customers coming in for demand. And it was pretty nice too, because it still enabled us to grow 3%, maybe less than what we had expected. But, all things considered, wasn't too bad from our perspective. But it was more a variety of the other multiple phone makers all sustaining, and in some cases, launching new programs that kept our revenue and then sustained our wireless revenue last quarter. This particular quarter is unusually impact of 2 big guys and several other small guys launching new phone programs.
Ross Seymore - Deutsche Bank AG, Research Division: Great. I guess, as my follow-up. On the wired side of things, if you take the CyOptics out of it, for answering this part of the question, seems like you grew about 17%, 18% organically quarter-over-quarter in July and you're implying guidance of 4% or 5% in the October quarter. Can you just talk through what drove the big upside and then why the slowdown, a little bit, from a sequential perspective? Is it inventory? What, did you fill a channel? Whatever the case may be.
Hock E. Tan: Now most of our -- excluding CyOptics, most of our wired infrastructure business, do not go through distribution, right away. Most of it goes right direct to our large OEM customers. The likes of Cisco, among others, in Juniper and there is others. And, well, I mean we saw pretty decent growth in Q3, in fact, very good growth in Q3, especially on the ASIC side. We probably expect to see a bit of a pause, as is typical, and we're going by that. Having said that, on the fiber side, we're continuing to see a lot of strength, especially now with the return of core routing this particular Q4 quarter. So, yes, when we weigh these 2 things together, which is basically a relative slowdown after very robust Q3 for ASIC but continuing strength in our fiber. And that hasn't slowed down, in our view, from Q3. We probably do not expect the 18% sequential growth in Q3 to be able to sustain in Q4. But it's nothing to do with any fundamental trends in the end market. The fundamental trend is data center spending. This continues to sustain and be strong and the conversion in this data center spending, the build out, rollout of data centers, not just in America, in China as well, is driving a lot of demand for 40G optical transceivers, as well as the switches and routing, the switches, especially data centers switches that go through a bid that will drive our ASIC business. So that's still there, that's the strength from Q3 to Q4 unchanged. And what is now thrown into the Q4 mix is core routing. But offsetting that is we do not expect our ASIC demand, our shipment, to be as strong in Q4 as it has been in Q3.
Operator: Your next question comes from the line of Craig Hettenbach with Morgan Stanley.
Craig Hettenbach - Morgan Stanley, Research Division: Hock, can you talk about traction in FBAR for the Chinese handset market, what you're seeing there from some of the larger suppliers in China and then also what the implications are for ASPs and margins in that market?
Hock E. Tan: Well, as I've always mentioned in prior conference calls, FBAR is used -- has been used -- continues to be used only because customers have really no choice but to use it and it's because of certain bands, SAW filter doesn't work as well and FBARs are used. And when you focus on China, the same thing does apply in the sense that TD-LTE does require FBAR as due because of the interaction coexistence, so to speak, with Wi-Fi. And so we are seeing demand for those FBAR filters in China very nicely, ramping up very nicely. And in some of those -- and in -- while it's -- basically, we -- we do see competition now. We expect to see competition. But that's not unexpected. And for us, our demand continues to be very solid in China as TD-LTE handsets starts to roll out more and more.
Craig Hettenbach - Morgan Stanley, Research Division: And do you see at some point any more diversification within the handset business from the 2 big suppliers today? Or how would you frame that looking out 12 to 18 months in terms of how the mix may evolve?
Hock E. Tan: You're talking about handset makers?
Craig Hettenbach - Morgan Stanley, Research Division: Your exposure to the 2 big guys, just...
Hock E. Tan: Oh, diversification, I don't know the answer to that. I'm really unable to comment on that because it very much depends on how those guys perform with their products out in the marketplace. And boy, if I do know that, I'll be doing another occupation eventually [indiscernible], but no, it's very hard. And so I do not know if it can be diversified. Right now, it's fairly diversified, I might add. The 2 largest handset OEMs, I might add, is -- represents what we sell to them, represents less than the rest of our handset revenues, our wireless revenues.
Craig Hettenbach - Morgan Stanley, Research Division: Yes. Maybe just a quick one for Tony on CyOptics. You mentioned OpEx a little lighter in the quarter. Can you just talk about, as you go forward, the operating leverage there? And then also, as you switch to components, do you still feel good about bringing their gross margins up?
Anthony Maslowski: Yes, so to go backwards on your questions, the gross margin plan is still intact. I think we started off of maybe a little better base than what we anticipated when we first purchased CyOptics. So we think that the vision we gave of leaving Q4 of 2014 with the 4 as the first digit is gross margin is very doable and we have line of sight to that. So I think that's going fairly well. I think on the operating expense side, it was -- we were thinking that it'd be 3 to 4. It ended up being slightly below 3 for CyOptics. And we don't see any specific operating expense growth there. So, again, R&D is they spend less than we do as a corporate average. In SG&A, they spend less than we do on a corporate average. So they leverage to our bottom line short of taxes, okay?
Operator: Your next question comes from the line of Vivek Arya with Bank of America Merrill Lynch.
Vivek Arya - BofA Merrill Lynch, Research Division: Hock, on the competitive landscape, again. Recently, TriQuint, as you saw, reported good results, gave very strong guidance. I'm wondering, are you seeing customers becoming more comfortable with that TriQuint solution? Or is it just that they are also reporting good results, you are also giving good outlook, that it's just a sign of the overall Bo [ph] and FBAR market being very strong? In general, what is the view around the competitive landscape as we look out over the next year?
Hock E. Tan: Well, as I mentioned in my prepared remarks, we see that competitive landscape in FBAR filters and filters, in general, particularly, be evolving very much as we expect it to. I mean, we will never expect they will be the only player in this market. I will always -- we want to be the best and most successful player in this market. And we have been to date and we expect to continue to do so. And to answer your specific first question on -- related to TriQuint, I mean, TriQuint is a competitor, a good competitor, I might add. And what I'm trying to get at is as far as what they guided, I can't comment on. But certainly, what we guided, we do not really see ourselves losing any market position, as I mentioned in my opening result. If anything else, we continue to strengthen our markets when we continue to see evaluated sockets that we are able to position ourselves very well in. And I should add, and we continue to hold our profitability in this business very, very well.
Vivek Arya - BofA Merrill Lynch, Research Division: All right. And as my follow-up, Hock, as I look back, in the first half, you had expressed confidence that all 3 cylinders of your business, right, wireless, wired and industrial, are growing. I'm curious, what is the confidence as you look out the next couple of quarters? Do you still see sort of broader base growth among your businesses? Or still, do you think wireless is going to be the main growth driver?
Hock E. Tan: Well, that's interesting. You're asking for a long-term thing, not just a couple of quarters that passed. Tell me out 1 year or out, and I'll be -- I'll tell you, we expect gradual industrial recovery because industrial, over the past and before this quarter and last -- especially before Q3 last fiscal quarter, industrial as an overall end market demand, has actually declined. And it's a secular decline, in my view. And I think we are seeing a gradual steady recovery of industrial that has happened with recovery of various economies. And with the fact that China needs to spend some money on infrastructure development, no doubt they are not -- maybe not as large as it used to be in 2010. But still, they need to spend, as we pointed out, this quarter for Q3. And they continue to spend this quarter on power distribution, power generation and high-speed transportation. We see -- and we see a recovery gradually of America and even the European economies. So I see industrial over the past -- next 12 months to gradually recover. We see from our end, we will go improve with the tide. As far as wired infrastructure is concerned, we have quite a few fairly exciting products that are very unique, very proprietary, very valuable to several of our OEM -- large OEM customers, which will launch over the next 12 months, which will enable us, we believe, to outperform even the enterprise networking industry. And so we see that as really a strong growth pattern. And within all this, in the context of all this, we see our wireless business, if you look at it year-on-year, grow at about 10% to 20% year-on-year. And we have been doing that around mid-teens for the last 3 years or so, and I don't see that changing. Is within a year, the wireless business does get rather seasonal, as someone put it earlier, I call it more volatile within a year as we move quarter-to-quarter. But when you look year-on-year, our wireless business has been steadily growing at around 15% a year. And the funny part about it is I do expect over the next 12 months or so that, probably, our wired infrastructure business might even outgrow our wireless business.
Vivek Arya - BofA Merrill Lynch, Research Division: Let me put in one last one for Tony, if I may. Tony, could you remind us of the CapEx plans for your FBAR fab capacity? And as you begin to ramp some of those CapEx plans down, is there a possibility of increasing shareholder returns through dividends and buybacks?
Anthony Maslowski: Again, in reverse order, we're still committed to the dividend program, and we'll continue to look at that on a quarterly basis. And you've seen our history and what we've done with that. The share buyback program is something we're getting more consistent on. And I think you'll see after a couple of quarters the consistency there. So I don't think those will be necessarily impacted by anything we do on the CapEx side. As for our FBAR expansion plans, we're in kind of the last phase right now of the current expansion plan. And I'd like to remind everyone that everything we've spent pretty much in the wireless area has been for capacity. There has been no huge R&D, CapEx expenditure here to date. It's all been capacity adds. And we're finishing that up at the end of this year. A little bit will trail into next year. And we're actually going through the process of setting the plan for next year, so it's a little too early for me to comment.
Operator: Your next question comes from the line of JoAnne Feeney with ABR Investment Strategy.
JoAnne Feeney: I just wanted to get a little bit more of the detail of the competition that you might be seeing in your RF world. In particular, what's your view currently of the Asia suppliers of FBAR-type filters and the use of some of your competitors in power amps who don't have their own filter supply? How is that being addressed? And are you seeing increasing competition from some of the Asian suppliers there?
Hock E. Tan: Well, I guess, let me try to address it in a broader context, JoAnne. What you're really asking, if I could put it in a simple -- in a more direct context, is, are we seeing a lot of competition in FBAR filters? I would preface that by saying, we always have competition from SAW filter manufacturers, from SAW filters. SAW filters may not perform as well as FBAR, but in many, many bands, they perform adequately. And given the price differential between FBAR and SAW filters, many phone makers prefer to use SAW filter cost point of view. Having said that, the increasing number of bands, some of them in China and in Europe and even North America, where those bands require the use of FBAR filters or duplexes, I should say, or filters, in order to get -- receive signals in an adequate -- in a satisfactory manner to meet those specs. And in those areas, we have, as I mentioned in my remarks, seen some emerging players showing up and offering those kind of -- similar kind of FBAR filters, perhaps. That's true. Having said that, we are still, by far, larger. We are still also, in terms of technology and design performance, by far, well ahead of all those. But having said that, we are not taking that -- we are not -- we're obviously taking those competitions seriously, and we will continue to do that. And the way we do that and stay ahead of the game is we continue to design filters faster and better even in terms of next-generation filters for the same band, much better than our competition. And really, it's all about staying ahead in the marketplace. We do see some of that. But as I pointed out earlier regarding an earlier question related to the same thing, we're still very far ahead of the curve, and we intend to remain that way. And we certainly intend to differentiate ourselves either on a discrete basis by having very high-performing filters for some of the phones or bands in China that requires those filters in TD-LTE and Wi-Fi or that we couple it with, as you pointed out, power amplifiers, very good performing amplifiers, to create what we call front-end modules or pads, which takes away -- which removes a lot of competition from players who either do not have FBAR filters or do not have power amplifiers [indiscernible], okay? And that's -- there are not many players out there who have both FBAR filters and power amplifiers, and by that, I mean have those capability in a very, very advanced and technologically progressive manner. There are very few out there.
JoAnne Feeney: Great. And then for a follow-up question, with your wireline or wired infrastructure business, clearly serving some growing demand in China, I'm wondering if you could describe for us the way you serve that business. You have 2 main U.S. players, like Cisco and Juniper. I'm wondering at your exposure to other equipment suppliers.
Hock E. Tan: We believe -- JoAnne, to answer your question, as I mentioned earlier, most of our businesses in wireline or wired infrastructure, I should say, we sell both fiber optic transceivers and high-speed SerDes-based ASICs, tend to be direct to those OEM customers. And obviously, there are not that many of them around that does those kind of -- and we focus on enterprise networking, enterprise basically rather than telecoms for transport. And I conclude, as part of enterprise, data centers guides a new breed of players who are coming in and building their own data centers, people like Google, as an example, or Facebook or Amazon, among others. So there's a mix of players there. But having said that, our core customers are the likes of Ciscos, Junipers and a few other OEM names, which we support very closely, we develop products that are, in some cases, unique and proprietary to these people so that they can effectively provide a solution sale to the likes of Google, Amazon and others as well. And so it's a situation both in ASICs and fiber interconnects but particularly the proprietary version of fiber. They have very close engagement with those customers. And we continue to be very, very closely engaged, obviously because we do have technology that those customers value very much.
Operator: Your next question comes from the line of Edward Snyder with Charter Equity Research.
Edward F. Snyder - Charter Equity Research: Hock, to put a little bit finer point on it, are you seeing demand for TD-LTE filters now? Or are most of your bookings still U.S. and European bands? And if you could maybe give us a feel for how is the revenue wait for the Chinese LTE bands, like 41, 30, 38 versus, say, 13 and 17, which are already out there now. And then I have a couple of follow-ups on the industrial side.
Hock E. Tan: To answer your question on that, on the waiting, don't have answer to you. I don't have that ratio in my mind. But it is increasing very fast. And obviously, to answer your question, yes, we do see demand for TD-LTE bands right now for filters and BAs [ph]. But in terms of ratio, sorry, I can't answer your question on that. I don't have the data.
Edward F. Snyder - Charter Equity Research: And I know a lot of people have asked about the additional competitors, but other than TriQuint, which both has SAW filters and the gas amplifiers, have any of the new competitors combined those 2? Or are you looking at more or less pairings of gasoline houses pairing up with TDK or TAIYO YUDEN to try and roll into a pad? Is that the new competitors you're looking at?
Hock E. Tan: No. I don't think we have really seen any of that landscape, any of those changes in landscape happening yet. I'm speculating to some extent when I say that. But all I merely said was that if the architecture of phones move towards pads or front-end modules with both power amplifiers and filters within a single module, there are not many players out there with the way we've done, with the capability or capacity to handle in large volumes both in the same -- both power amplifiers and filters in the same front-end module. That might be a bit challenging. But that aside, even in filters, FBAR filters, in its own right, okay? As I mentioned, we're in generation #8 or 9 in FBAR filters. And now simple, simple strategy to stay ahead, way ahead of competition, is to keep innovating and developing products that are -- that gets better and better and more and more cost-effective for our customers.
Edward F. Snyder - Charter Equity Research: I apologize, I'm a little confused then. Outside of the pad business, we'll just leave off the table for now. It's basically been you and TriQuint and the high-performance filter, you both expanded capacity. I'm sure you follow your competitors well. There always have been sampled filters from maybe 2 other vendors in Japan on Bo [ph]. But they've never really been competitive, and they never had any capacity to produce them in volume. Has that changed now? Is that what you're saying in terms of a third competitor? Or are you saying the landscape's always evolving and you've got TC SAW and you've got all these other technologies and that's providing competition? But in essence, the competitive environment in high-performance production Bo [ph] is the same as it's always been?
Hock E. Tan: SAW filters is still very prevalent. And we see people always -- or we see other emerging players always offering what we call similar Bo [ph] or FBAR filters. And by the way, TriQuint does it in Bo [ph], not FBAR filters, and fairly different in many ways. And we don't see the landscape changing that dramatically. It's evolving. There are new players and only new players coming in. And by the way, the SAW filter guys, we don't underestimate either, because they get their products out better and better every year as well. And we contend -- as we've been contending their reviews. But in terms of -- from a bigger perspective, overall landscape, has things dramatically changed? No. Answer is no.
Edward F. Snyder - Charter Equity Research: Great. And then you've underestimated demand for a few quarters running now. Are you adjusting your mythology to track it better? Or are you satisfied with your more kind of conservative approach to it?
Hock E. Tan: We always try to be conservative, Ed, because it makes your plan -- makes the results of wrong planning come out better. So we do try to be a bit somewhat conservative.
Operator: Your next question comes from the line of Ian Ing with Lazard Capital Markets.
Ian Ing - Lazard Capital Markets LLC, Research Division: First question, optics from the data center, where are we in this 10 GB to 40 GB transition, I guess, to QSFP? And do you have any color around 100 GB, whether it's [indiscernible] business? And are you seeing Cisco's captive offerings as of yet?
Hock E. Tan: Let's start with 10 to 40. Well, when, right, I think, in the midst of -- for large data centers -- a lot of large data centers, we're in the midst of seeing build-outs of data centers that uses 40 GB, obviously, because there's -- it's 4x the bandwidth for every port. So we are seeing a lot of that happening. And it's interesting, simultaneous to that happening, we are obviously seeing a lot, as we have been seeing for the past 12 months, and continuing acceleration of doing conversion of 1 GB to 10G. Well, that's also happening. But certainly, what we've seen over the last several months is very, very strong surge for 40G. And that -- a lot of that are going to obviously large data centers, large build-out data centers [indiscernible] for social networking or just in some situations, perhaps, a traditional enterprise spending. But we tend to see a lot of it more in those guys doing cloud infrastructure. So that's very, very strongly happening. But within enterprise data centers, 100 GB, we are not seeing it, obviously. That's why 40 GB is happening. 100 GB, 100G in, I guess, equipment, 100G interconnect are just interconnect being for short-reach data centers as opposed to the telecoms, fiber optics, transport. From the enterprise point of view, very little of that, if any, has happened. I think there's more. 100G will be more of a 2015 event rather than right now. Right now, what we're seeing is more 40G.
Ian Ing - Lazard Capital Markets LLC, Research Division: Okay, helpful. And then in wireless, you mentioned that the high-end has softened a bit. I mean, looking at the design wins pipeline, do you see any downshift to some lower-cost, more mid-tier LTE phones? And how should we think of the content trends given the cut in ASPs? Would RF face some pressure here?
Hock E. Tan: Well, see, it's -- a really funny trend is happening, which might be a bit confusing, is we -- yes, I did comment in my prepared remarks that high-end smartphones have been growing very fast for the last few years, have certainly appeared to have slowed down as apparent from launches by a few large OEMs that have kind of disappointed. So maybe that -- so on the high-end side smartphones, high-end smartphones have slowed down, though I think low-end smartphones conversion from feature phones are still continuing very well. So that's one trend. But in the other side -- the opposite side of the trend is in a lot of smartphones, especially even the high-end smartphones that appeared to have slowed down, the content is accelerating. We are now talking about smartphones that has and going to 10 bands in 1 phone. And over the next 1 to 2 years, 2 years -- within 2 years, going to over 15 bands in 1 phone. And that's probably because of the proliferation of bands, LTE especially coming in, and the requirement for LTE phones, as I many times pointed out, to be backward interoperable with 3G, which has a whole [indiscernible] UMTS, which has multiple bands. And even back to EDGE, 2G or CDMA, which has itself its own set of bands. So when you add it all up, each phone, each smartphone begins to carry a fairly sizable amount of bands. And as you know, each of those bands require their own peculiar unique RF composing nature and components. So content is what drives it. That's what we are seeing now. Of course, I love for my 2 largest OEMs to keep growing share and grow bigger as other OEMs that has bought. But reality of what we are very good at is, as I said, we're getting more and more content in those same phones.
Operator: Your last question comes from the line of Doug Freedman with RBC Capital Markets.
Doug Freedman - RBC Capital Markets, LLC, Research Division: Hock, you mentioned you're having some difficulty keeping up with demand. What are your present lead times? And is there any risk that as those lead times come in maybe next quarter, that we could see some related softness around that?
Hock E. Tan: I can't determine what's going to happen in the next quarter of ours. But what I have in this quarter is I'm ramping as aggressively as we could. And it's very fortunate that we have put in place our expanded capacity, as Tony alluded to, in our FBAR wafer fabs and related back-end lines that we are able to try draw that. But lead times for us is [indiscernible] -- we're trying to do it as fast as we can. Customers are not really asking -- these large OEM customers don't look for lead time, they look for supportability as fast as possible. And our capacity, our enlarged capacity, actually, is enabling us to address that.
Doug Freedman - RBC Capital Markets, LLC, Research Division: And then as my last question, my follow-up, really looking at the 40 GB market, we've heard from some peers talk about that market being a little weaker than they had expected. You guys clearly aren't seeing that. I'm having a little trouble reconciling that. But they also mentioned that they were seeing a little bit more price pressure in the 40 GB market. Can you talk a little bit about what you're seeing on the ASP front in that market?
Hock E. Tan: Well, let me be very precise here. When we stepped -- we sell -- when we referred to 40 GB, in particular, it's wired enterprise networking for us, which include data centers. There are 2 subsystems or components we sell in this market. There's the ASICs we support, selected OEM customers' ways. And many of these ASICs, especially, go into this new generation of switching switches and routers that are -- that -- which -- that supports 40G data transport -- data transfers, I should say. So that one, we are one step removed, but that's obviously what you're referring to as much because we don't sell boxes, we sell ASICs. And they are pretty much extended prices predetermined years ago. And then the other part of business we sell is fiber optics transceivers or interconnects, you want to call it that, that populate and allow data to be transferred from 1 switch -- from a switch to the server -- to another switch or router. And those -- where we sell those are in the enterprise short-reach data centers, as well as enterprise networking. And here, I'll be direct, we see very little competition, much less price degradation. Okay, maybe you're referring to 40 GB long-reach transport for metro networks and those stuff. And that, by the way, we now have visibility through our acquisition of CyOptics, whereas CyOptics sales do sell and continue -- has been selling the lasers and chip components to support module makers who make those products to sell into that space. And that's possible because 40G single mode for data transport, metro networks have been around now for a couple of years, at least, if not longer and for quite a while now. And those probably have seen some price competition, especially on the module side, but not on the enterprise networking side of the whole thing, where you're talking more short reach in data transfers.
Thomas Krause: Thank you, operator. Before we close, I would like to remind everyone that Avago will be presenting and meeting with investors at the Deutsche Bank Technology Conference in Las Vegas on September 11, 2013. I want to thank everybody for participating in today's call. We look forward to talking with you again when we report our fourth quarter results and fiscal year-end 2013 results in December.
Operator: That concludes Avago's conference call for today. You may now disconnect.